Operator: Good morning, ladies and gentlemen, and welcome to today's Pyxus International Fiscal Year 2026 First Quarter Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's conference call, Mr. Tomas Grigera. Mr. Grigera, you may begin.
Tomas Grigera: Thank you, operator. With me today is Pieter Sikkel, our President and CEO; and Dustin Styons, our CFO. Before we begin discussing our financial results, I would like to cover a few points. You may hear statements during the course of this call that express a belief, expectation or intention as well as those that are not historical fact. These statements are forward-looking and involve a number of risks and uncertainties that may cause actual events and results to differ materially from these forward-looking statements. These risks and uncertainties are described in detail, along with the risks and uncertainties in our filings with the SEC, including our most recent Form 10-K. We do not undertake to update any forward-looking statements made on this conference call to reflect any change in management's expectations or any change in assumptions or circumstances on which these statements are based. Included in our call today may be discussion of non-GAAP financial measures, including earnings before interest, taxes, depreciation and amortization, commonly referred to as EBITDA and adjusted EBITDA, which are not measures of results of operations under generally accepted accounting principles in the United States, and should not be considered as an alternative to U.S. GAAP measurements. A table, including a reconciliation of and other disclosures regarding these non-GAAP financial measures is available on our website at www.pyxus.com. Any replay, rebroadcast, transcript or other reproduction of this conference call other than the replay as provided by Pyxus International, has not been authorized and is strictly prohibited. Investors should be aware that any unauthorized reproduction of this conference call may not be an accurate reflection of its contents. Now I'll hand the call over to Pieter.
J. Pieter Sikkel: Good morning, everyone, and thank you for joining us today to review our first quarter fiscal 2026 results. We had a solid quarter and are pleased to report financial performance in line with our expectations, positioning the business to achieve our full year guidance for both revenue and adjusted EBITDA. Our results reflect a more normalized cycle with crop purchasing in the first half of the fiscal year, followed by processing and value addition with customer shipments weighted more heavily to the second half. This aligns with customer requirements and drives further efficiencies throughout the business. During the quarter, our teams effectively navigated the highly dynamic and competitive market to capture opportunities generated by some of the largest crop volumes in South America and Africa in recent years. Purchases in South America are complete and the majority of our buying activities in Africa accelerated compared to the prior year and concluded by the end of the first quarter, which typically continues well into the second quarter. Increased volumes with earlier purchasing provide the future opportunity to accelerate leaf processing and customer shipments. Our ability to manage to the peak working capital requirements needed for a large, accelerated crop also emphasizes that Pyxus is in a strong competitive position for the current market environment. We have increased capacity under our seasonal lines and our ABL, a result of our disciplined multiyear strategy focused on working capital management and efficiency. This strategy has strengthened our credit profile and continues to deliver results. Our achievements in quarter 1 underscore our competitive strength, including our flexible global footprint, improved financial capacity and long-term farmer relationships. The value of these relationships was further validated by the environmental nonprofit CDP, which recently recognized Pyxus as a Supplier Engagement Leader for the second year in a row for our collaboration with contracted farmers to reduce negative environmental impacts. With that, I'll turn the call over to Dustin to further discuss our first quarter financial performance and full year guidance.
Dustin L. Styons: Good morning, everyone, and thank you, Pieter. I'm pleased with our first quarter performance across the organization. As Pieter mentioned, our results reflect a more normalized cycle in the first half of the year, largely focused on building the right inventory position, which will then be converted into revenue through the second half of the year. This flow results in higher leverage in the first half, which we will bring down throughout the second half to our low point at year-end. In the first quarter, sales and other operating revenues were $508.8 million compared to $634.9 million in the same quarter last year. This result was expected and largely related to the acceleration of certain customer shipments into the fourth quarter of fiscal year 2025, and this was partially offset by higher pricing in the quarter. Gross profit for the quarter was $65.6 million, a margin of 12.9%, compared to $83.9 million, a margin of 13.2% last year. Changes in gross profit were primarily driven by regional and customer mix for leaf sales during the quarter. I would note that this was partially offset by an increase in processing revenue in the first quarter, a trend we anticipate will continue during the fiscal year due to increased volumes. Average gross profit per kilo was relatively stable at $0.86 compared to $0.84 in the prior year. Selling, general and administrative expenses in the first quarter remained well managed and improved slightly to $40.4 million compared to $40.7 million in the first quarter last year. Adjusted EBITDA was $29.5 million compared to $55 million last year and is consistent with lower sales and gross profit in the quarter. Net interest expense continued to improve with total costs down $3.5 million compared to the prior year. This was due to lower average interest rates in the quarter and the benefits from last year's long-term debt reduction. Tobacco inventory at the end of the first quarter was $1.1 billion compared to $980.6 million last year. Our uncommitted inventory was $13.6 million or 2.4% of total processed inventory. The continued low levels of uncommitted inventory reflect ongoing strong demand from our customers. Consistent with our working capital investments, we increased our seasonal debt capacity, resulting in just under $881 million of seasonal debt outstanding, up over $200 million compared to the prior year. We also expanded our ABL facility, which increased by $30 million to a total of $150 million and had no outstanding at the end of the quarter compared to $44 million outstanding last year. We continue to focus on working capital management, resulting in a 12-day reduction of our operating cycle time year-over-year, ending the first quarter at 160 days. Our working capital discipline has enabled us to increase inventory by over $107 million with a net debt increase of only approximately $90 million. Our use of free cash flow in the quarter was as expected, driven by the combination of lower prior crop sales and our increased inventory investment. This quarter, we delivered in accordance with our plan, and we are confident in our position to achieve our full year guidance of sales in the range of $2.3 billion to $2.5 billion, with adjusted EBITDA in the range of $205 million to $235 million. With that, I'll turn it back to Pieter for closing remarks.
J. Pieter Sikkel: Thank you, Dustin. Our first quarter performance aligned with our expectations and laid the groundwork for continued momentum in fiscal 2026. While we continue to monitor macroeconomic and geopolitical risks, including potential tariffs, we are confident in our ability to deliver against our guidance given current market dynamics, and expect another strong fiscal year. I would like to thank everyone for joining the call today. Operator, please open the line for questions.
Operator: Thank you, Pieter. [Operator Instructions] We will take our first question from Oren Shaked with BTIG.
Oren Shaked: So Pieter, I just wanted to ask on the competitive environment. You obviously mentioned in the press release that the environment was fairly competitive in the first quarter. Can you give us a sense maybe for has there been a change in the competitive environment? Or how are you thinking about that both in terms of what you're seeing today versus the historical precedent? And how are you thinking about it going forward?
J. Pieter Sikkel: Thanks for the question. I think, if anything, even with the increased crop sizes that we are seeing a strong competitive environment in the marketplace. We've seen considerable increase in crop sizes in South America, and yet the market has remained very strong, and we've obviously completed processing and largely committed volumes and pricing to customers. And as we progress through Africa with very large crop sizes as well, the demand was strong, purchasing activities accelerated. So we're still seeing a positive environment in terms of the demand for the product with the increased sizes. And we'll start to see that reflected as we ship out in quarter 2, 3 and 4 this crop that we've kind of -- we've rebuilt our inventories in the first quarter of the year.
Oren Shaked: Okay. And then, Dustin, gross margin still down year-over-year in the first quarter. Should we expect gross margin to rebound over the course of the coming quarters and end higher for the year?
Dustin L. Styons: Great question. I think quarter 1 sales are largely reflective and very consistent with the prior year, absent the timing shift that we noted. Quarter 1 sales do not have a heavy weighting of current crop shipments. So we'll begin to see more of the influence of current crop dynamics going into quarter 2 through the remainder of the year. So very consistent with what we've mentioned previously, with larger crops, improved procurement costs from the growers, which is exactly what we're seeing this season across most markets. We'll see those results flow through and the impact in the financials beginning more in quarter 2 through the remainder of the year.
Oren Shaked: Got it. Okay. And at this point, obviously, you guys have brought down inventory fairly substantially in the fourth quarter and have now rebuilt the inventory position here in the first quarter. Do you feel like you are back to where you need to be? Or is there further inventory building to come?
Dustin L. Styons: I think our inventory position coming out of quarter 1 is in a good position, particularly to fulfill our overall guidance and plan for the year. We're in a good spot related to inventory.
Operator: [Operator Instructions] We will take our next question from Patrick Fitzgerald with Baird.
Patrick John Fitzgerald: You say in the release that the uncommitted inventory is only 2.4% of processed inventory. So I guess you have a good handle on how much you'll make on that. If you have any color on when you expect that to ship, that would be helpful. And then, of the inventory that is not processed, how committed are those inventories at this point in the cycle?
J. Pieter Sikkel: Thanks for the question, Patrick. The uncommitted piece is a very, very small portion of our total inventory, and we're very comfortable with committing and shipping that during the fiscal year. In terms of -- sorry, could you repeat the second part of the question?
Patrick John Fitzgerald: I would just -- so there's processed inventory, I guess there's inventory that's not yet processed. You have -- I think -- I mean, maybe you can provide some more color, but you have a good idea of how much you'll make on that committed inventory. Do you expect that to ship and for the inventory that's not committed, not -- the inventory that's not processed and not committed, like how good of an understanding of how much you're going to make on that do you have?
J. Pieter Sikkel: Yes. I think as I said earlier, in Brazil, we're very much -- we've completed purchasing and the vast majority of commitments and pricing in that crop. So we've got a very good handle on where we are and would expect that to ship out during the fiscal year. Peak shipments from South America tend to be quarter 2, quarter 3. In Africa, we had an accelerated purchasing program on larger crops, which has really allowed us to start our processing and customer visits and commitments earlier than in the prior year. We're well through the initial wave of committing product there. So we've got a good handle on what the volumes and the pricing looks like, but there's a way to go in the next couple of months to complete that cycle. But again, because of the earlier start in Africa, we do expect the shipments to be able to take place during the fiscal year, and Africa tends to be a little bit more weighted into quarter 3 and quarter 4. So we feel whether it be the committed inventory that we still have in hand or the tobacco that we need to process, we're in a good position for the fiscal year and anticipate as we did with our guidance, obviously, we had an excellent year last year, and we anticipate building on that this year by reaffirming our guidance and with the position we've reached at the end of quarter 1.
Patrick John Fitzgerald: Okay. Yes, because I'm just -- there's a lot more supply this year. So I guess the concern would be the confidence level on pricing holding up. So -- but you feel like you're in a good place in that regard, I guess.
J. Pieter Sikkel: I think, Patrick, what we've seen in the last few years with the shorter crops, we very much saw the concept tailoring of cost in our purchasing of tobacco. So a low quality and a high quality at very similar pricing. What we're seeing is a better range and a better pricing according to the qualities of the tobaccos, which helps to rebuild margins in the certain lower middle portion of the crop. So we end up with a better margin profile across all qualities of the tobacco that we sell.
Patrick John Fitzgerald: All right. Very helpful. And I have to ask, any updated thoughts on refinancing? Do you have metrics that you're trying to hit in terms of leverage that you feel like give you the best shot of doing a deal? Any help on that would be great.
Dustin L. Styons: Great question, Patrick. Over the past several years, we have been focused on improving our operating performance, particularly key credit metrics. We see an opportunity to continue that improvement this year. We are discussing various improvements and strategies related to improving our capital structure, but no key updates related to refinance efforts at this time.
Operator: This concludes the Q&A portion of today's call. I will now hand the call back to Mr. Grigera for closing remarks.
Tomas Grigera: Thank you again for joining our fiscal year 2026 first quarter call. We look forward to sharing future updates with you following the second quarter of fiscal year 2026.
Operator: This concludes today's call. Thank you for your participation, and have a great day.